Operator: Good day, ladies and gentlemen and welcome to the second quarter 2009 NiSource earnings conference call. My name is Kershaw and I will be your operator for today. At this time, all participates are in listen-only mode. We will conduct a question-and-answer session towards the end of the conference. (Operator Instructions) I would now like to turn the call over to Mr. Glen Kettering, Senior Vice President of Corporate Affairs, please proceed sir.
Glen Kettering: Thank you, Kershaw and good morning to everyone on behalf of NiSource I would like to welcome you to our quarterly analysts call. We appreciate the opportunity to be with you today and thank you for taking the time to join us. Joining us this morning are Bob Skaggs, President and Chief Executive Officer; Steve Smith, Executive Vice President and Chief Financial Officer; and Randy Hullen, Director of Investor Relations. As you know, the focus of today’s call is to review our second quarter 2009 earnings results and provide a general business update. During the course of the call we will be referring to certain supplemental materials, which are available to those accessing our call via webcast at which have been posted on the NiSource website at www.nisource.com. Following Bob’s prepared remarks we will open the call to your questions. As always I’d like to remind you that all or some of the statements made on this conference call will be forward-looking statements within the meaning of the Safe Harbor provision of the U.S. Federal Securities Laws. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Information concerning factors that could cause actual results to differ materially is included in the management’s discussion and analysis and risk factors sections of our periodic SEC filings. Now I’d like to turn the call over to Bob Skaggs.
Bob Skaggs: Thanks Glen. Good morning and thanks for joining us. As you know we have several important matters to address this morning. First we’ll report on NiSource’s second quarter earnings results. Next we’ll update you on the impacts of the continuing economic downturn on our business and the steps we’re taking to mitigate them. I’ll also briefly update you on our liquidity position, which I’ll preview now by telling you it remains quite solid. Finally we’ll discuss each of our business segment results and continued progress on our balance plan to enhance shareholder value. Let’s begin with a look at our second quarter results. As we noted in our news release this morning, despite extraordinarily bad economic conditions in our market areas, NiSource produced another solid quarter of core earnings while continuing to execute on our business plan. For the second quarter, NiSource delivered net operating earnings on a non-GAAP basis of $6.2 million or $0.02 per share. This compares with $23.2 million or $0.08 per share for the second quarter of 2008. Just to place our performance in perspective, but for increased pension experience which as you may recall is a $0.24 per share drag on earnings for 2009, our operating earnings for the quarter would equal last years second quarter. A remarkable accomplishment given the very stiff economic headwinds our businesses like many others continue to face. Operating earnings, again on a non-GAAP basis were $117 million compared to $119.7 million for the same period in 2008. In addition to increased pension expense, the most significant impacts on second quarter results were reduced revenues in our electric business, resulting from the economic recession, which has hammered Northern Indiana. Incremental interest expense related to the issuance of long term debt under our liquidity plan. These impacts were partially offset by increased net revenues in our gas transmission and storage and gas distribution businesses. Good management of core O&M as well as the effects of open market debt repurchases and lower short term interest rates. To kick off this morning’s commentary, I’ll first address the recession’s impact on NiSource and I’ll emphasize again, as I have done in previous calls, we continue to closely monitor economic conditions across the markets we serve and assess the potential impacts on our business. Although these issues certainly aren’t unique to NiSource, they represent a set of stiff challenges that we have been and continue to be thoughtfully and proactively managing. Commercial and industrial volumes in particular have been extraordinarily soft as a result of the continuing economic recession. As I mentioned, this is especially true in our Northern Indiana markets, were second quarter industrial demand was about 25% below the prior year level. This contributed to a decrease in electric revenues of more than $21 million or about $0.05 per share. Another economic headwind, pension expense; for the quarter pension expense was up nearly $25 million or about $0.06 per share. You recall that we forecasted a total increase of about $100 million in pension expense this year. Again, with the total 2009 earnings impact of about $0.24 per share. On the positive side of the ledger, you’ll clearly see that our businesses have taken aggressive steps to offset the impacts of these near term economic and financial headwinds. As our earnings attest, we have successful mitigated a portion of these impacts through increased revenues and aggressive cost management efforts across all of our businesses. These aggressive mitigation efforts are ongoing. Just to cite one example. Earlier this month our Columbia Gas of Ohio or Columbia of Ohio unit, received authority from the Public Utilities Commission of Ohio to defer the difference between actual pension expenses and the levels reflected in COH’s base rates. That deferral is expected to positively impact 2009 operating earnings by approximately $13 million or about $0.03 per share. That benefit will be reflected in our results for the third and fourth quarters of this year. Undoubtedly, the effects of the economic downturn are proving to be deeper and longer than anyone had hoped. Against this backdrop, is truly historic to mention, our teams are working day and night to overcome these impacts and deliver results inline with the earnings outlook we provide earlier this year. In fact, you’ll see in today’s news release that our 2009 earnings outlook remains consistent with our previously announced net operating earnings guidance non-GAAP of $1 to $1.10 per share. I’d repeat once again that we continue to monitor the economic situation closely, and we’ll continue to make appropriate balanced adjustments to our near term business plans as we manage through these turbulent times. As we indicated earlier this year, our original outlook assumed a gradual economic recovery during the second of 2009. We have moderated that estimate somewhat to reflect current market conditions to state the obvious, the ultimate pace and strength of the recovery remain to be seen, and a variety of economic factors, particularly industrial and commercial usage will remain a key sensitivity for all of our businesses going forward. As you would expect, we’ll provide you with our assessment of the economic situation as part of our overall business update when we report earnings for the third quarter. Moving to liquidity, as I mentioned earlier, NiSource’s position has become increasingly solid. As discussed during our first quarter call, we have been successfully executing our financing and liquidity plan. As we speak, NiSource has fully addressed its 2009 debt refinancing requirements, and it’s well underway toward meaning its 2010 refinancing needs. In fact we now estimate that our remaining financing requirements through 2010 will be considerably less than $500 million. I would also note that as shown on the supplement slides, our cash position has continued to improve, and we expect to have more than $550 million of excess liquidity for the year. In terms of specific liquidity initiatives on June 25, Columbia Gas of Virginia received approval for the Virginia State Corporation Commission for the issuance of long term debt of up to $75 million. In addition, Northern Indiana Public Service Company, or NIPSCO is in the process of obtaining Indiana Utility Regulatory Commission approval to issue $120 million of debt related to its new Sugar Creek generating facility. During the third quarter of 2009, NiSource also expects to add an accounts receivable securitization facility for Columbia Gas of Pennsylvania and is in the process of establishing the similar facilities at Columbia of Ohio and NIPSCO. Total capacity for these facilities is expected to be approximately $525 million with opportunities for annual renewal and capacity increases as required. Without minimizing the daunting challenges we and virtually all companies are facing in managing through these turbulent times, I continue to be encouraged by the fact that our underlying business performance remains strong, our liquidity position is solid and we are delivering on our commitment to preserve and execute on the core elements of our business strategy. Turning to that core business strategy, let me spend a few minutes focusing on second quarter business segment results and accomplishments. We’ll begin with NIPSCO, beyond the tough, tough Northern Indiana economic climate; we realize all eyes are trained on the NIPSCO electric base rate case. Although, we are now one year into that case, we continue to see steady progress towards successful resolution. In terms of the procedural calendar, the intervening parties filed testimony during the second quarter and NIPSCO filed its last round of testimony in late June. Final round of evidentiary hearings began in late July and is continuing, and the case is expected to be resolved with new electric rates likely effective during the first quarter of 2010. In terms of the settlement process, the NIPSCO team has engaged the parties in cordial and construction discussions over the course of the last month. Our clear preference would have been reached settlement prior to the commencement of hearings. Unfortunately we weren’t able to do so, although, we would never rule out a settlement. At this point, our expectations for a negotiated resolution are tempered and our team’s attention is now focused on the hearing that’s underway in the Indianapolis. From an earnings standpoint, Electric Operations reported second quarter operating earnings of $31 million versus operating earnings of $52 million from the same quarter last year. As I noted earlier, net revenues decreased by $21.3 million, primarily as a result of lower industrial and commercial usage and lower off systems sales. Operating expenses decreased slightly, due primarily to a $7.2 million decrease in depreciation expenses and a $5.1 million decrease in other taxes, due to lower property taxes. The decreases were mostly offset by higher pension expense of $10.5 million and higher electric generation and maintenance costs of $5 million. The decrease in depreciation expense relates to an adjustment recorded by NIPSCO during the second quarter of 2008. Our Gas Transmission & Storage business unit called NGT&S notched yet another quarter of strong performance. At NGT&S, we saw increased revenue from storage services, new Appalachian supply interconnects and incremental revenue from our gas transportation business during the second quarter. The NGT&S team also continued developing a stream of new growth projects that capitalize on the company’s strong asset base. Work continued on our efforts to provide market access for an additional 150,000 dekatherms per day of gas from the Marcellus Shale production area in southwestern Pennsylvania. Initial firm transportation services on those projects began in the third quarter of 2008 with additional increments scheduled to be placed in service through mid-2010. Storage gas injections began in April for the Ohio Storage Expansion Project, which will increase NGT&S market-area storage capacity by 7 billion cubic feet and enhance delivery from two Ohio storage fields. Also in April NGT&S executed agreements to add 30,000 dekatherms per day of new capacity into premium east coast markets later this year from upgrade to northeastern Pennsylvania compressor station. The new capacity is expected to be available late this year. Shippers also executed agreements for a little more than 25,000 dekatherms per day of long-term firm transportation service associated with a facility expansion in central West Virginia. That project which we referred to as the Cobb Expansion is expected to be in service April 2010. Two additional NGT&S expansion projects have been placed in to service. The Appalachian Expansion Project, providing a 100,000 dekatherms per day of new transportation capacity to three key Appalachian producers was in-service ahead of schedule on July 13, and the Eastern Market Expansion, which also provides nearly 100,000 dekatherms per day of additional storage and transportation services under fully subscribed 15 year firm contract, was played into service April 1. When coupled with our recent Hardy Storage Project, the team has now added 25 billion cubic feet of new market area storage capacity over the past two years. NGTNS also completed the contracting of 95,000 dekatherms per day of capacity for firm delivery from Columbia Gulf Transmission to the Florida Gas Transmission system near Lafayette, Louisiana, and have placed a number of other pipeline interconnects into service during the second quarter. From an earnings standpoint, transmission and storage operations reported operating earnings from the quarter of about $80 million versus operating earnings of about $75 million in the second quarter of 2008. As I mentioned earlier, net revenues were up $13 million, primarily due to increases in firm capacity reservation fees and shorter term transportation and storage receivers, partially offset by lower commodity margins. Although no part of our business is completely immune from the effects of our economic downturn, the continued strong performance in our NGTNS unit has been instrumental in mitigating some of the near term earnings pressures we’re seeing in other parts of the business. The NGTNS team also is continuing to aggressively address itself cost structure and advanced new energy infrastructure projects that will be key contributors to NiSource’s long-term growth profile. Last, but certainly not least, our Gas Distribution unit also delivered strong results during the quarter benefiting from ongoing efforts to improve rate design and align our infrastructure replacement and enhancement programs with a variety of regulatory initiatives. Gas Distribution’s net revenues, excluding the impact of regulatory trackers increased by more than $18 million for the quarter, driven largely by rate and regulatory initiatives recently implemented in Ohio and Pennsylvania. Partially offset by decreased customer usage, which came in at about 2% versus our expectation of about 1%. This increased revenues helped drive operating earnings of $7.5 million, versus an operating earnings loss of $3.9 million in the second quarter of 2008. Operating expenses, again, excluding trackers, were $6.8 million higher than the comparable period last year, again, reflecting an increase in pension expense and higher depreciation costs, partially offset by lower employee and administrative costs, excluding pension expenses. Building on last year’s successes in Ohio and Pennsylvania, our Gas Distribution team is continuing to make excellent progress in executing its long-term growth strategy. On April 16, Bay State Gas Company filed a petition with the Massachusetts Department of Public Utilities seeking to increase annual revenues by $34.6 million or 6.4%. Base State’s request addresses capital costs associated with system upgrades and maintenance, as well as cost increases since the company’s last base rate case in 2005. Among other things, the current filing includes a proposed infrastructure investment tracker and enhancements to the company’s rate design. Hearings in the case concluded in July, and new rates to Bay State are scheduled to become effective in November of this year. On May 1, Columbia Gas Kentucky filed a rate case with Kentucky Public Service Commission for an overall increase in revenues of approximately $11.6 million, or 7%. The filing proposes enhancements to rate design, the implementation of energy efficiency program, and the establishment of an infrastructure investment tracker. On June 8, Columbia Gas, Virginia filed with Virginia State Corporation Commission to implement a conservation and rate-making efficiency or CARE Plan for a three-year period from 2010 through 2012. The plan combines energy conservation incentives for residential and small general service customers with a decoupled rate mechanism. All of these proceedings continue NiSource’s collaborative regulatory approach toward engaging stakeholders in addressing issues related to energy conservation, progressive rate design and timely recovery of ongoing infrastructure enhancement investments. Shifting now to other operations, we reported an operating earnings loss of $1.7 million, compared with an operating earnings loss of $1.4 million in the prior year period. In terms of interest expense, as I noted earlier we saw an increase of about $18 million, primarily due to incremental interest expense associated with the issuance of $700 million of long term debt in May of 2008 and $600 million of debt in March 2009 as part of our proactive liquidity plan. Net increase was partially offset by the open market debt repurchase of $100 million in January 2009, the $250.6 million tender offer debt repurchase in April 2009 and lower short term interest rates. Other net was a loss of $0.5 million, compared to income of $1.3 million for the second quarter of 2008, as a result of lower interest income. On a GAAP basis, NiSource reported a net loss from continuing operations for the three months ended June 30, 2009 of $8.7 million or $0.03 per share, compared with net income from continuing operations of $19.7 million or $0.07 per share in the same period a year ago. Operating income was $103.9 million for the second quarter of 2009, compared with $114.4 million in the year ago period. Schedule one in earnings release has complete list of the items included in 2009. In 2008 GAAP income from continuing operations, but excluded from net operating earnings. To wrap up, NiSource’s overall financial performance for the quarter is consistent with our business plan and as mentioned earlier inline with our outlook of net operating earnings in the range of $1 to $1.10 per share for 2009. Although we have much more to accomplish in a very challenging environment in which to operate, the team has made solid progress in delivering on our aggressive game plan. We have worked hard to dampen the effects of the severe economic downturn while improving our solid liquidity position. We have also continued to advance our agenda infrastructure programs, rate proceedings and pipeline and storage growth opportunities. These accomplishes serve to underscore our continued commitment to preserving and executing on the core elements of our strategy for generating long term sustainable growth for NiSource and value for our shareholders. Prior to opening the call to question, I would like to address a few matters I know are always a priority for our stakeholders. First, I want to reiterate NiSource ongoing commitment to its investment great credit ratings. If the events of the last year have demonstrated anything, it’s the value of maintaining a solid investment grade credit, something we regard as mission critical to a regulated capital intensive business such as ours and particularly so in times such as these we have all experienced over the course of the last year. We are committed to maintain and open dialogue with rating agencies I would note that Moody’s, one of our agencies last week issued interim credit reports on NiSource, NIPSCO and base date reaffirming their respective ratings. We’ll be conducting our annual deep dive review with all the credit rate agencies in the fourth quarter of this year, and we look forward to those critical discussions. Likewise we recognize the significance of our dividend and the key role it plays in the NiSource investment proposition for our shareholders. As I mentioned in our last quarter’s earnings call, we remain committed to the current dividend and we don’t have plans for large scale equity issuances at this time. Finally we remain committed at the communicating with our investors in the transparent and timely manner regarding these and all of our efforts ongoing updates will be provide through our analyst calls and news releases posted on www.nisource.com. Thanks for your interest and your participation this morning and your continued support of NiSource. With that, Kershaw, we’ll open the call to questions.
Operator: (Operator instructions) Your first question comes from the line of Paul Ridzon with KeyBanc; please proceed.
Paul Ridzon - KeyBanc: Good morning, how are you?
Bob Skaggs: Good morning. We’re fine.
Paul Ridzon - KeyBanc: So it sounds like the settlement discussions are not dead, but you’re less optimistic than you might have been a while back?
Bob Skaggs: Yes, that’s accurate. As I said in my prepared remarks, we’ll never say, never. We’ll continue to develop ideas and surface proposals, but as we sit here today, we’re focused on the hearing that’s actually in motion in Indianapolis and expect it to conclude at week’s end.
Paul Ridzon - KeyBanc: Any incite as to what the major stumbling blocks to a settlement might have been?
Bob Skaggs: Obviously, the discussions are confidential. I’ll just give you the overall view that we have about the case. Number one, first case in 20 years of very, very large complex case with many, many moving parts, and from day one we’ve mentioned that cost allocation, particularly among industrial customers, residential commercial customers was going to be a key issue, with likely be contentious, and hard to deal with. That’s still the view we have today.
Paul Ridzon - KeyBanc: Okay, you got a charge at transmission and storage on an interest rate hedge. Did you not carve that out as an unusual item?
Bob Skaggs: We didn’t carve it out as an unusual item and actually that charge relates to the Millennium Pipeline and our partnership in Millennium Pipeline. If you’d like, I could ask Steve Smith to give you a little bit more detail around that particular item.
Steve Smith: Sure, Bob. Thanks. Hi, Paul, how are you?
Paul Ridzon - KeyBanc: Good.
Steve Smith: Yes, the Millennium charge is related to the hedges we had in place for a portion of the debt at Millennium. Partnership decided that it made economic sense to roll the hedges an additional 12 months, given that our borrowing costs currently are so low at Millennium, and so that charge is the result of rolling the hedge forward another two months.
Paul Ridzon - KeyBanc: Is that $4.2 million after tax?
Steve Smith: That’s correct, yes. That’s not all $4.2 million. It’s about $7.9 million is the total charge for us before tax.
Paul Ridzon - KeyBanc: Are we going to be living with this run rate on pension for the entire year, or is there an opportunity in ‘09 to open that up again?
Steve Smith: No, that’s set for the entire year Paul, and it’s recalculated for the succeeding year for 2010, January 1 of 2010. So it’s locked in.
Paul Ridzon - KeyBanc: Then what was the cost of the lowered depreciation and amortization at NIPSCO?
Steve Smith: Roughly $7 million was the adjustment that was made in 2008. If I’m off a few dollars here and there, Randy can certainly provide that clarification.
Paul Ridzon - KeyBanc: Okay. I’ll circle back.
Steve Smith: That’s the order of magnitude.
Paul Ridzon - KeyBanc: Thank you.
Bob Skaggs: Yes.
Operator: Your next question comes from the line of Carl Kirst with BMO Capital; please proceed.
Carl Kirst - BMO Capital: Hey, good morning, everybody.
Bob Skaggs: Hey, good morning Carl.
Carl Kirst - BMO Capital: A few questions if I could. The first, starting off of on industrial demand, it looked like the actual decline picked up a little bit relative to the first quarter. Bob, you said you tempered the outlook a little bit for the second half of the year. One, I didn’t know if through the second quarter you had seen any variations from April to June or perhaps even how we stand here in July? I didn’t know if, perhaps, you could actually quantify when you said, moderating outlook kind of what the expectations are now for second half decline in industrial demand?
Bob Skaggs: Yes, Carl let me start with a bit of color around the second quarter. You are right the decline picked up a bit, but I wouldn’t say it was a material up tick. Slow the first quarter, and it was slow the second quarter. We just have not seen much, if any pickup to this point. We’ve been following carefully the commentary provided by U.S. Steel, in their earnings announcement. We’ve also been following closely commentary from middle. We’ve been noting that steel inventories have declined, and we hear and read about glimmers, but frankly we have not seen those translate in to up ticks in our meter readings. So, this reduction that we’ve seen over the first quarter and second quarter, frankly we just don’t expect much material improvement in those deliveries for the balance of the year, and again, our original forecast had assumed some recovery. We just haven’t seen and we felt like it wasn’t prudent to count on it for the balance of the year. What we have charged the teams to do is to continue to mitigate offset through aggressive cost management, regulatory initiatives, commercial arrangements, do we can’t offset that reduction.
Carl Kirst - BMO Capital: Then Bob, don’t mean to beat the dead horse or kind of parse words here, but it sounds like you are reiterating your earnings forecast with not just kind of a moderating outlook, but it sounds like you’re not expecting much in the way of an improvement in the second half?
Bob Skaggs: I think that’s absolutely correct. We are clearly reaffirming the earnings outlook. Highlighted the sensitivities to the economy and so, that the color around that reaffirmation is, we are highly sensitive to what’s going on in the economy, particularly in Northwest Indiana.
Carl Kirst - BMO Capital: Great, now appreciate that. Second question is just going to the NIPSCO rate case and I don’t want to read too much into this. You mentioned the new rates being likely effective in first quarter ‘10. My understanding is, I guess after the hearings, which should end here in August…
Bob Skaggs: Actually, let me jus interrupt. We expect the hearings could conclude, as early as the end of this week.
Carl Kirst - BMO Capital: Okay and at that point then we’re just waiting for the IURC to act, as I mean not that they would do it soon, but I mean is that the case or is there any other road signs along the way we should be looking for?
Bob Skaggs: Yes, it’s the latter Carl. Once the earning closes, procedurally the administrative judge will set a briefing schedule and again, given the size and complexity of this case and where it stands in the way of litigation. We would expect that there will be a considerable amount of time spent on briefing, both initial briefs, reply briefs and the like and that the deliberations could extend through the balance of the year and in to the first quarter, and again, I’m basing that on the complexity of the case, the gravity of the case, particularly in this economic climate that we are in.
Carl Kirst - BMO Capital: Fair enough. I appreciate the clarification and then lastly, maybe switching to the pipelines. You guys have got a lot of good things as far as new Appalachian interconnects storage revenue. The question I had was really on TCO, Columbia Gas. My recollection is there are shorter duration contracts on that system, and I guess my question is, has the recent flattening of basis differentials? Does that cause any risk to the Columbia Gas going forward?
Bob Skaggs: First, maybe I can address the premise of the propositions question. The average term of the firm contracts are five to seven years in duration. So, there are long-lived agreements. The team has done a terrific job of continually renewing and extending contracts. In fact we’ve gone through a wave of renewals over the past year, and I think it’s accurate to say that those went off, as we had hoped. Again, long term, tend to be max rate agreements. On the horizon, we’ll have renewals, but I can’t recall offhand, Carl anything that is material or would suggest that we’re going to have a revenue runoff at Columbia Gas Transmission due to contract renewals or weakness in the market. In fact, I’d say it’s to the contrary, the market is holding up quite well, and again, I think the track record on renewals would support that.
Carl Kirst - BMO Capital: Great now, the five to seven years was what I needed. So, appreciate the color and good luck. Thanks.
Bob Skaggs: Thank you.
Operator: Your next question comes from the line of Carrie Saint Louis with Fidelity. Please proceed.
Carrie Saint Louis - Fidelity: Hi, good morning.
Bob Skaggs: Hey, Carrie, how are you?
Carrie Saint Louis - Fidelity: Good. First, I was wondering it seems like weather was a hurt. I was wondering if you have like weather-adjusted sales data yet.
Steve Smith: We do have weather-adjusted sales data.
Bob Skaggs: If you go back to the earnings release, and the segment information, you’ll see where we stand with regard to Heating Degree Days and Cooling Degree say days okay, and just for the three months on, the electric side, we’re about 14% off in regards to weather. Now, I will also suggest that just looking at Degree Days for July, way, way off, material off. As you know, it’s been quite cool here in the Midwest.
Carrie St. Louis - Fidelity: Yes. All right, thanks for that. In terms of the NIPSCO financing application, did you say you expected that to be resolved in the third quarter?
Bob Skaggs: Yes.
Steve Smith: Yes, that’s correct, Carrie. This is Steve. We anticipate getting an order out of the commission by the end of the third quarter.
Carrie St. Louis - Fidelity: Okay. Okay and then, you know, it means reference to potentially a need of $500 million of financing. Do you have any thoughts about timing and, you know, the strategy that you are going to pursue, and when do you kind of have more, would you have more clarity on that?
Steve Smith: I would say, by the end of the third quarter we’d have a lot more clarity on that, Carrie. Obviously we’ve got the $75 million order out of Virginia. We’re very pleased with that, and we’re anticipating getting a good order out of Indiana on the $120 million, and I think at that point, we’ll be able to strategize, on what the appropriate actions should be going forward, but my bias would be to take care of any financing, you know, as soon as we can.
Bob Skaggs: Carrie, I would just add a couple of points of color. Number one, financing requirement, we’ve said, is up to $500 million. So we’re suggesting it could be somewhere south of that. I’d also suggest that the numbers reflect ongoing improvement in cash and liquidity, and so, again, we’re trying to minimize the amount that we’ll need to finance.
Carrie St. Louis - Fidelity: Great and then last question, since you filed the NIPSCO rate case, clearly there’s been both the hit in volumes, and the pension. I was just wondering if you could talk about the longer-term regulatory strategy, and how you are going to work to get those recovered, and just remind me about when you could be able to file, if that’s a strategy, another rate case to kind of go after those more kind of perfunctory issues that you would like to get resolved?
Bob Skaggs: Right. You hit the nail on the head with volumes and pension expense both going against us here over the past 12 months. Those items are not included in the test year that the current case is being litigated on. Just for everybody on the phone call, that the test year for the current NIPSCO rate case is calendar year 2007. So obviously since then, we have volume issues, we have pension expense issues that we have to deal with, which suggests to us, and I think to most others that a second case, second NIPSCO rate case almost inevitable. I said it’s apparent to almost everybody. Our stakeholders are very sophisticated parties. Clearly the Indiana Commission is sophisticated and well regarded, and they clearly understand that we have two very big items that are outside of the current case. Again, it certainly suggests that a rate case is in the offing sooner rather than later. Having said that, there are many, many considerations that we have to deal with regarding the what, how, and the when. So we don’t have definitive plans at this point, Carrie on when we’ve file would that volume would look like. The rules provide that we could file a second rate case as early as the fourth quarter of this year. Again, we don’t have definitive plans, but as you would suggest, we are certainly considering next steps, the key considerations, and what that second case would look like. For the time being, though, for the moment at hand, first thing is first. We’re focused on this current rate case and seeing that to resolution.
Carrie St. Louis - Fidelity: Yes, absolutely. Okay, great. That color was helpful.
Bob Skaggs: Okay.
Operator: Your next question comes from the line of Barry Klein with Citigroup. Go ahead, please.
Faisal Khan - Citigroup: Good morning, guys. Actually Faisal
Bob Skaggs: Hey, good morning.
Faisal Khan - Citigroup: Just a couple of questions here, on the gas utility filings you guys made in Massachusetts and Kentucky, will those rate cases address pension costs?
Steve Smith: That they certainly will and you may recall current rates reflect a pension expense tracker.
Faisal Khan - Citigroup: Oh, right. Okay. Got you.
Steve Smith: So we certainly are attempting to renew that, or continue a mechanism of that sort. We’re also attempting to address pension expense in Kentucky and back we have an application pending requesting deferral of expense pending this rate case.
Faisal Khan - Citigroup: Okay and then on the pipeline side, in terms of your storage contracts on the pipeline side, are those at max tariff, and is there any room as some of those contracts rollover to renegotiate higher prices.
Steve Smith: They are at max tariff expect them to continue at max tariff. The only storage field or storage opportunity that has market based rates is the recently approved Ohio storage project and that is a notable move by the team, notable approval by the FERC that’s only in globe market based rate opportunities.
Faisal Khan - Citigroup: Is that sold out? That facility?
Steve Smith: It’s pretty much sold out, but not 100% sold out.
Faisal Khan - Citigroup: Okay and in terms of a lot of the intersections that you guys of announced in your press release in your prepared comments, what do you think those interconnections due for your pipeline system? Does it increase the tenure, the contracts the pipeline it increase interruptible revenues? What do you think the net increase is?
Bob Skaggs: It’s all of the above. I think it just continues to support the viability of the Columbia Gulf system in particular. We believe it is the cheapest, most effective transport out there and the on slot or the flood of volumes coming in to it, reaffirms that value, both long term and short term.
Faisal Khan - Citigroup: Okay. In terms of where you guys are in terms of gas and storage, what percentage full are you guys in terms of gas and storage both at the utility and at the pipeline.
Bob Skaggs: Well, part and parcel of this saying we have tariffs that require customers to provide injections over the course of the summer with peak storage capacity at or about hitting in October, give or take. So there’s a fairly regulated schedule of injections that must be maintained so that we have the required pressures as we enter in to the winter season. I don’t have the exact percentage. I would suggest it is going to be a fairly high percentage and Randy can provide that to you and others that are interested. I can assume you all of the customers are on schedule and meeting those storage injection levels, again so they can assure themselves of having the required capacity when they get in to the winter. Our LDC is the affiliated Columbia LDC are the largest firm storage customer on Columbia Gas Transmission, and consistent with my answer to the pipeline question, they will be right on schedule with those required injections.
Faisal Khan - Citigroup: Okay. Gotcha, so there’s no real change from the way you are injecting gas in the storage compared to last year?
Bob Skaggs: No. No. This is very tariff controlled and reliability dictated.
Faisal Khan - Citigroup: Okay. Gotcha and in terms that your guys said you have about $0.5 million in financing needs for next year and that has been whittled down pretty significantly. I am curious at the end of the day I think you did pay down some of that debt ahead of time, and maybe below par. How much of a discount were you able to get on buying back some of that debt?
Steve Smith: We had a couple of repurchases, we had the first one in January of $100 million, and we took out $33 million of the floating rate notes, and about $67 million of the 2010 notes. We were able to buy those, somewhat below par, not, not huge discounts below par, but for the most part below par on the 2010 notes and then we had a tender offer, you’ll recall for $250 million of notes for the 2010 maturity and that was pretty much at par in terms of the repurchase. So that leaves us in 2010 with the $682 million of maturity coming due in November.
Faisal Khan - Citigroup: Okay, got it. Thanks, I appreciate your time guys.
Bob Skaggs: Okay. Thanks.
Steve Smith: Thank you.
Operator: The next question comes from the line of Shneur Gershuni with UBS; please proceed.
Shneur Gershuni - UBS: Hi, good morning, guys.
Bob Skaggs: Hey, good morning.
Shneur Gershuni - UBS: Thanks for the great color. A lot of my questions have actually been answered. I was just wondering if you can sort of touch base on some of the growth projects you highlighted, if you sort of have a number with respect to the growth CapEx that’s related to those projects.
Steve Smith: Sure, where would you like to begin, Shneur? We listed a lot of Columbia Gas Transmission projects, and NGT&S projects, Ohio storage?
Shneur Gershuni - UBS: If you have a total, I recognize you don’t want to break them all up right now, if you kind of have a total number and I guess the expected return hurdle?
Steve Smith: Yes, Randy can give you the total. Let me just give you again, some color around it. These projects generally speaking, range from $20 million to as high as $180 million. $180 million give or take was the Eastern market expansion. So the projects are relatively speaking bite sized projects. I think as we’ve shown, we’re executing on these projects and delivering them on time and on budget.
Shneur Gershuni - UBS: Okay. I guess maybe I’m just circle up with Randy with respect to that?
Randy Hullen: Yes, we can give you a total of what those growth projects are and again we’re talking over multiple years. So it depends on how you want to cut that CapEx spend.
Shneur Gershuni - UBS: Okay. A question with respect to the utility, kind of in the past when we’ve had dig recessions, we kind of seen customer counts falloff in the second quarter, as people try to skip on their bills and so forth. Are you seeing that? Or things little different and have there been benefits, if can you give us some color on that?
Randy Hullen: Yes, customer counts are way down, and again, when you look at the earnings release, you’ll see that the customer counts quarter-to-quarter are in fact down for the most part. There maybe a few variances or outliers, but by in large we’re seeing them down. I would also add, as you would expect due to the housing meltdown, new customer additions are de minimis across all of our companies.
Shneur Gershuni - UBS: Okay and then one final question with respect to what Carl was talking about on the generation side. Are you seeing any green shoots at all whatsoever, or is it basically it continues to be challenging? I was wondering if you could talk about coal stockpiles as well, and if fuel switching at something that impacts you guys?
Randy Hullen: Yes, just let me start at the back end. We have not seen fuel switching, per se in our area. We’ve not seen any to use your term green shoes. It’s just been very, very slow and we have just not seen any glimmers. We’ve not seen any glimmers on the industrial side. It’s interesting, residential demand was okay for the second quarter. Probably surprise a little bit on the positive side, but again the industrial and the commercial was just not good at all.
Shneur Gershuni - UBS: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Josh Golden with JP Morgan. Go ahead, please.
Josh Golden - JP Morgan: Hi, good morning. Sorry about that.
Bob Skaggs: No problem.
Josh Golden - JP Morgan: Question for you, would I sort of missed your comment about the rating agencies. When are you going to be sitting down with them and sort of going through and reviewing your case?
Bob Skaggs: Yes, we’ll be going through our long term financial plan with all of the agencies in late October or early November, and that’s our traditional cycle when we go through a deep dive with them. Precise dates haven’t been set, but that’s traditionally when we do it.
Josh Golden - JP Morgan: Okay, great. Am I correct in seeing that you still believe even with dividend that you are going to be capable of maintaining the investment grade rating particularly now that your quarterly issues have been cleared up to some degree?
Bob Skaggs: Yes, we continue to reiterate our commitment to the investment grade credit ratings, and believe that we can maintain those ratings.
Josh Golden - JP Morgan: Okay. Great, thanks.
Operator: Your next question comes from the line of Scott Sanchar [ph] with Decade. Please proceed.
Scott Sanchar - Decade: Hi, good morning.
Bob Skaggs: Hey Scott, how are you?
Scott Sanchar - Decade: Good. Could you just please go over the process to recover the higher pension expense in Indiana? I believe the use like an average over the past five years, but I’m just wondering if that’s on the test year of its ‘08 levels or ‘09 levels or how that works?
Bob Skaggs: It begins with test year, which again, for folks on the call is calendar year 2007, and typically they do use an averaging process. Offhand, I can’t recall what we proposed. I believe it was five years, but subject to check we can provide that, but that’s tends to be a typical sort of approach on pension expense.
Scott Sanchar - Decade: Okay. Great and then I noticed the customer count was down a little bit at NIPSCO electric, and I think some other companies in your region saw the same thing. Any color you can give us on what’s driving that?
Bob Skaggs: The economy, throughout our areas and you can look at a variety of reports and sources. That unemployment in most of our key larger market areas is double-digit in nature, and so that’s really the key driver in the flat or flattish numbers that we show you, and we are seeing reductions Scott, but when you look at the numbers, it’s a couple of thousand. So it’s not completely off the table, but it is certainly flat and it is certainly soft.
Scott Sanchar - Decade: Okay. So it sounds like shutoffs are more than I guess people leaving.
Bob Skaggs: Yes, I would say it’s more that the shutoff activity, as opposed to leaving the market area. Again, I noted on an earlier answer that new business, due to the housing meltdown. We just don’t see much activity at all.
Scott Sanchar - Decade: Okay and then, do you expect to file a rate case at NIPSCO gas anytime in the future?
Bob Skaggs: I’m sorry, would you repeat that.
Scott Sanchar - Decade: Sure. Do you expect to file a rate case at NIPSCO gas anytime in the future?
Bob Skaggs: We certainly expect that we are going to have regulatory activity at some sort at NIPSCO gas.
Scott Sanchar - Decade: Okay, great. Thanks.
Operator: Your next question is a follow-up question from the line of Carl Kirst with BMO Capital. Go ahead.
Carl Kirst - BMO Capital : Thanks, guys. Just one quick follow-up, Bob you had mentioned. I’m not sure that’s Bob or Steve, but one of you had mentioned in the very end of your commentary when you were reiterating the commitments to the investment grade rating and to keeping the kind of dividend, would there be no large-scale equity issuances. I didn’t know if that was just sort of talking around for instance the normal ongoing dividend reinvestment program or if there were some contemplations of perhaps one of these equity dribble programs that other utilities have done?
Bob Skaggs: No, we just wanted to distinguish, the large scale offering from the ongoing DRIP activity that we have in place in motion and that's been activated.
Steve Smith: Carl, this is Steve. We anticipate in the $15 million range through that DRIP program that we have in place at NiSource per year.
Carl Kirst - BMO Capital : Great, thanks guys.
Operator: There are no further questions. I’d now like to turn the call back over to Mr. Bob Skaggs, President and CEO.
Bob Skaggs : Kershaw thank you and again, thank you for your interest, your participation, your ongoing support at NiSource and the management team. We certainly appreciate and look forward to talking to you in the not too distant future. Have a good day.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day